Operator:
Bob Krakowiak: Good morning. I am Bob Krakowiak, Vice President and Treasurer, Investor Relations for Visteon. Welcome to our Third Quarter 2015 Earnings Call. All lines have been placed on a listen-only mode to prevent background noise. As a reminder, this conference is being recorded. Before we begin this morning's call, I would like to remind you this presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future results and conditions but rather are subject to various factors, risks and uncertainties that could cause our actual results to differ materially from those expressed in these statements. Please refer to the slide entitled Forward-Looking Information for further information. Presentation materials for today's call were posted on the Investor section of Visteon's website this morning. Please visit www.visteon.com/earnings to download the material if you have not already done so. Our Form 10-Q was filed earlier this morning with the news release. Joining us today are Sachin Lawande, President and Chief Executive Officer; and Jeff Stafeil, Executive Vice President and Chief Financial Officer. We appreciate your interest in our company, and thank you for joining us to review third quarter 2015 results. We have scheduled the meeting for an hour, and we will open the lines for your questions after Sachin's and Jeff's remarks. Please limit your questions to one follow-up. Again, thank you for joining us. Now I will turn it over to Sachin.
Sachin Lawande: Thanks, Bob and good morning everyone. I am very pleased to report that earlier this morning. We released very strong results for the third quarter. Sales were $808 million for the quarter and $2.4 billion for the first nine months of the year. Adjusted EBITDA was $65 million for the third quarter and $230 million through the first nine months. Adjusted free cash flow was $77 million in the third quarter and $249 million year-to-date through September 30th. The Company has a very strong balance sheet cash, with cash of $2.9 billion and debt of $382 million at the quarter close. As you know, in June, we initiated a $500 million accelerated share buyback that will be completed by the end of this year. Additionally, we also signed an agreement to sell our non-core automotive interiors plant in Berlin, effective December 1st. This marks the sale of Visteon's or the remaining interiors operation not covered by the 2014 divestiture of the interiors business to Reydel Automotive Holdings. As a result of our strong performance, we are increasing our full-year 2015 guidance for our core electronics business and corporate. As shown at the bottom of the slide, we not project full year mid-point sales of $3.75 billion, up from our previous guidance of $3 billion. Our new range for adjusted EBITDA is $265 million to $285 million and the range for adjusted free cash flow is now $135 million to $165 million and improvement of $20 million and $90 million at the mid-point, respectively. Jeff will discuss this improvement later in the financial review. Moving to Page 3, Visteon's third quarter sales by region were very balanced and aligned closely with vehicle production around the world. As I told you last quarter, I am very pleased with Visteon's diversified customer base. We have significant business with 11 of the top 15 OEM customers, who make up 80% of the market for corporate electronics. This excellent customer base continued to be a solid foundation in the third quarter and I have personally been focused on seeing that we expand our business with these existing customers while broadening our customer base. Moving to Page 4, we provide an update on the business that we have won during 2015. It should be noted that the numbers on this slide represent new business wins as well as re-wins. Our customers continue to reward us for the innovative technologies and products that we bring to the market. During the third quarter, we were awarded $230 million in new business and we have one $950 million in new business on a year-to-date basis. These figures represent average annual sales for the business won this year. On a lifetime basis, we expect the business won in the third quarter and in the first nine months of the year to amount to $800 million and $2.9 billion, respectively. The regional breakdown of the $2.9 billion of lifetime revenues is shown on the right side of the slide. As you can see, Asia represents 42% of these wins, followed by Europe at 36% North America at 20% and South America 2%. Turning to Page 5, we have recognized that our business backlog is of keen interest to you as it is a useful indicator of the health of the business. We have changed our definition of backlog to reflect cumulative sales for the remaining life of all booked programs. This definition is consistent with the methodology used by my previous Company and more importantly provides a clear and consistent view of backlog going forward. Using this definition, our backlog was $14.6 billion as of September 30, 2015. That is 3.4% higher than our backlog in January of this year when we adjust the effects of currency changes since the beginning of this year. In short, our business backlog is strong. In fact, the ratio of our lifetime booked sales to last 12 months sales is 4.8. This ratio is nearly identical to the business I left at my prior employer. We believe this strong backlog is a barometer of our customers' confidence in Visteon's products and technologies and offers a solid foundation for the future of our business. On Page 6, we highlight some of our key product launches around the world during 2015. As you can see, our product portfolio ranges across all product segments from entry to luxury models. We have launched 46 programs this year, of which approximately one-third were launched during the third quarter. Moving to Page 7, we provide an update on the overall vehicle market in China and its impact on Visteon. As we have discussed on prior calls, Visteon is extremely well positioned in China. We have joint ventures with the so-called big four domestic manufacturers in China, big four domestic manufacturers in China SAIC, DongFeng, FAW, and ChangAn. This gives us excellent access to the market for our technologies and products. Through these JVs, Visteon serves just about every major vehicle manufacturer in China. I believe in the long run, our JVs and the rich product portfolio will be a huge competitive advantage over other suppliers that do not have these assets and capabilities in China. That said, 2015 has seen growth rates in China softened from the higher levels experienced during the past few years. In the third quarter of 2015, China light vehicle production volumes decreased nearly 9% versus the same period last year. On a year-to-date basis, China volumes of increased 1.4% versus last year. Our 2015 guidance assumes that China volumes will grow at approximately 1% for the full-year versus 2014, implying that the fourth quarter of 2015 will be roughly flat versus the prior year. You can see in the top0right quadrant of the slide that our sales have grown faster than overall production volumes. Sales in the third quarter were up 1.2% versus the same period last year, largely driven by the fact that over half of the consolidated sales produced at our China facilities are exported to Visteon locations outside of China. On a year-to-date basis, Visteon's China sales increased by roughly 25%, and largely reflect the acquisition of JCI Electronics on July 1, 2014. As you can see on the bottom-left, we continue to win insignificant business in China, with year-to-date new business wins of $606 million in lifetime sales, which represents 21% of the total consolidated Visteon wins that I discussed on Page 4. China remains the world's largest automotive market. We continue to be bullish on China as our business is still expected to grow at two to three times the overall market growth in China. Turning to Page 8, Visteon regularly receives awards from our customers for our technologies and innovations. We highlight a few recent examples on this slide with a particular focus on awards in Asia. The first award here is especially noteworthy. Visteon received global innovation award from Nissan for an Innovative 7-inch display instrument cluster with advanced graphics, which is featured on the all-new 2015 Nissan Murano. The clusters advanced graphics give the driver quick and easy access to vehicle and driving status, including maps weather and aid as warnings. This is an excellent example of the global capabilities of our Company. This project was headed by the Japan team and supported by teams in India, China and the United States. That concludes my overview comments. I would like to remind everyone that our Management team has been working diligently on a go-forward strategy for Visteon, which is centered on driving maximum value for our customers and shareholders in both, the short-term and long-term. We will present the strategic overview at two upcoming investor conferences, the Baird 2015 industrial conference on November 11th in Chicago and the Barclays Investor Conference in New York on November 18th. At these conferences, we will outline Visteon's vision and mission and our short-term and long-term strategic plan. We will also discuss long-term growth opportunities for our key markets, including market trends, forecasts and key growth enablers. Additionally, we will provide a comprehensive financial outlook, including our targets for sales and adjusted EBITDA for the next few years. Finally, we will address opportunities to further enhance our capital structure and shareholder returns. We look forward to your participation in both conferences as we set the future course for our Company. I would now like to turn it over to Jeff, who will walk you through our financial results for the quarter.
Jeff Stafeil: Thanks Sachin. On Slide 10, we present our key financial results for the third quarter 2015 compared to the third quarter of 2014. As we have explained on prior calls, our financial results are impacted by a number of items that make year-over-year comparisons difficult. The adjusted financial information presented on this slide excludes these items and represent how we manage the business internally. As non-GAAP financial measures, this adjusted financial information is reconciled to U.S. GAAP financials in the attached appendix on pages 22 through 30. As we have also explained previously, we have reclassified the majority of our climate business and our interiors business as discontinued operations in our financial statements. As a result, our income statement has been adjusted to exclude both, climate and interior-specific income and expense. Climate and interior's net profit has been combined and reflected on one line as discontinued operations. The financials on this slide exclude discontinued operations with the exception of free cash flow and adjusted free cash flow for consolidated Visteon. Adjusted EBITDA was $65 million in the quarter compared to $30 million for the same period last year. Adjusted EBITDA for electronics and corporate-only was $67 million, $30 million higher than third quarter of 2014. The $30 million year-over-year increase largely reflects increased production volumes, including new business and favorable cost performance, including synergies related to the JCI Electronics acquisition. Adjusted free cash flow was $77 million in the quarter, $59 million higher than the same period last year. Adjusted free cash flow for electronics and corporate only was $83 million, $78 million higher than the third quarter of last year. I will cover the metrics more on the following pages. Turning to Slide 11, we provide third quarter 2015 sales and adjusted EBITDA for core Visteon and total Visteon. Core Visteon, which includes the combined result of the electronics product group and corporate cost is what we expect to be our ongoing operations after we address our remaining legacy interiors and climate facilities. Sales for core Visteon were $771 million in the quarter, $11 million higher than last year. Adjusted EBITDA for core Visteon was $67 million, $30 million higher than the same period last year. I will go into more detail on the year-over-year sales and adjusted EBITDA comparisons on the following slides. Moving to Slide 12, electronics sales for the third quarter of 2015 were $771 million. Adjusted EBITDA for electronics, including corporate cost was $67 million. Sales increased versus 2014 by $11 million, largely driven by higher production volumes in Asia, partially offset by unfavorable currency impacts related to the euro and the Japanese yen. Adjusted EBITDA increased $30 million in the third quarter versus 2014. The increase is largely driven by positive business equation of $16 million, reflecting material and manufacturing cost savings, which more than offset customer pricing productivity. Meanwhile, our initiative to reduce SG&A has continued to bear fruit as costs fell $6 million versus last year. Finally, favorable volume and mix had a $6 million positive impact while currency was relatively neutral for the quarter as the unfavorable impact of the euro was offset by other favorable movements in the yen and R&D. On Slide 13, we highlight electronics and corporate adjusted EBITDA and adjusted EBITDA margins for the last several quarters. We have seen significant improvement in adjusted EBITDA versus 2014. Adjusted EBITDA in the first nine months of this year was $211 million, $98 million or 87% higher than the first nine months last year. The year-over-year increase largely reflects the JCI Electronics acquisition on first-half results and the impact of cost efficiencies, including synergies related to the JCI transaction. As a reminder, we stated that the expected synergies from the JCI Electronics acquisition were expected to be between $40 million and $70 million by the end of 2017. The initiatives to achieve this synergy have gone faster than expected and our guidance reflects the achievement of approximately $70 million of savings this year. We are very pleased with our ability to recognize these synergies in this calendar year. It should also be noted that the significant year-over-year increase in year-to-date adjusted EBITDA is despite unfavorable currency impacts namely related to a weaker euro, which averaged $1.12 in the first nine months of this year compared to $1.36 in the first nine months of last year. The currency impact on adjusted EBITDA in the third quarter was fairly minimal as the unfavorable euro impact was offset by favorable movements in the Japanese yen and the Chinese RMB. Adjusted EBITDA as a percent of sales for the quarter was 8.7% compared with 4.9% in the third quarter of last year. On Slide 14, we provide adjusted free cash flow for the third quarter and the first nine months of 2015. Total adjusted free cash flow was $77 million in the third quarter and $249 million for the first nine months of 2015. On this slide, we have separated the electronics and corporate cash flows from the cash flows related to the other product group and our discontinued operations. Our core electronics and corporate adjusted free cash flow was $83 million for the quarter and $146 million on a year-to-date basis. Our year-to-date adjusted free cash flow for electronics and corporate of $146 million is significantly higher than we previously expected. Year-to-date adjusted free cash flow has benefited from increased profitability and the timing of trade working capital flows as well as several non-recurring items that I will address in a moment. Trade working capital is typically an outflow in the third quarter, with reversal in the fourth quarter. However, in the third quarter of 2015, we experienced some payment delays largely related to system conversions at some of our European operations. We estimate this impact at approximately $20 million, which we expect to reverse in the fourth quarter and which we have reflected in our guidance. The non-recurring items that have impacted 2015 adjusted free cash flow guidance include favorable timing of cash tax payments, positive recoveries on value added taxes and cash receipts of capitalized engineering. In total, these items are expected to favorably impact this year's free cash flow by approximately $40 million. While these items will not repeat next year, 2016 cash flow will benefit from improvements in adjusted EBITDA versus 2015. Turning to Slide 15, we provide our updated full-year 2015 financial guidance. These amounts relate to our electronics and corporate operations only and exclude are other product group as well as our discontinued operations. As Sachin said earlier, we are increasing our full-year sales, adjusted EBITDA and adjusted free cash flow guidance while decreasing our DNA, cash taxes and capital spending guidance. For the full-year, we are now projecting mid-point sales of $3.75 billion, adjusted EBITDA of $265 million to $285 million and adjusted free cash flow of $135 million to $165 million. On Slide 16, we compare our updated full-year 2015 sales and adjusted EBITDA guidance to our original guidance that we provided at the Deutsche Bank Conference in January. Full-year 2015 sales are projected to be $125 million lower than originally expected. The reduction is more than explained by unfavorable currency and lower production volumes in China. These impacts were partially offset by increased volumes in the rest of the world. Specifically, unfavorable currency related to the euro, the Japanese yen the Chinese RMB decreased sales by $175 million. Lower production volumes in China decreased sales by $50 million and higher production volumes in Japan and North America increased sales by $100 million. Despite lower sales, we have increased the mid-point of our adjusted EBITDA guidance by $35 million since the guidance we gave in early January. The increase is driven by $70 million of improvements across the operations, including SG&A and engineering savings initiatives to pull ahead of JCIs synergies into 2015 and increased volumes. These benefits are partially offset by a $35 million reduction related to unfavorable currency impacts and lower China volumes. On Slide 17, we provide sales and adjusted EBITDA outlooks for 2016. We expect 2016 sales to increase between 4% and 5% versus the mid-point of our 2015 guidance. The increase reflects higher volumes and new business wins, partially offset by unfavorable currency and customer pricing productivity. The 2016 backlog of $245 million disclosed last January at the Deutsche Bank Conference has been negatively impacted by unfavorable currency an lower volumes in China than previously anticipated. Additionally, the year-over-year increase in 2016 sales is less than otherwise expected as 2015 benefited from higher than anticipated sales in North America and Japan. As Sachin indicated earlier, we project our backlog at the end of the third quarter to be nearly $15 billion. This is a result of strong new business wins last year and again this year. We expect this to drive sales growth into the future. Adjusted EBITDA as a percent of sales is projected to increase to approximately 9.5% in 2016, driven by higher sales and cost efficiencies. Now, let me turn it back to Sachin for some closing thoughts.
Sachin Lawande: Thanks Jeff. In closing, I want to reiterate that we are pleased with our accomplishments for continuing operations through the first three quarters of 2015. We achieved significant year-over-year profit improvement despite currency headwinds, we generated meaningful free cash flow and we attained the upper range of targeted synergies related to the JCIs Electronics acquisition two years earlier than originally anticipated. Additionally, we returned $500 million of capital to shareholders and are committed to an additional return of $2 billion to $2.25 billion. We have increased full-year guidance on the strength of our performance and are focused on finishing the year strong and sustaining our momentum for 2016. We believe the opportunity to further improve our margins and enhance our capital structure will drive further value in the short-term. Long-term, we see an opportunity to drive growth through our singular focus on corporate electronics and through customer and geographic expansion. I am enthusiastic about Visteon's position in the corporate electronics space and I am confident in our team, our technology and the strategy that we will roll out over the next two weeks. Thanks again for joining us today. At this point, I would like to open the call up for any questions.
Operator: [Operator Instructions] Your first question comes from the line of Colin Langan with UBS. Please go ahead.
Colin Langan: Great. Thanks for taking my question. Can you just remind us about the interiors piece, the last divestiture I believe was announced last week, is that in your guidance still? How does that affect your outlook when you are guiding '16?
Jeff Stafeil: Colin, the interiors piece that is in Berlin, as we mentioned is we have put out in the press release last week is now under contract and expected to close later this year. The guidance we, I think, put out is something like $135 million or $180 million in total and it is split between this year and next year. I think it is roughly 135 - year, or 145 the next year. Overall, it should not affect our guidance next year. Our guidance next year is just electronics and corporate only is we put forward on the page.
Colin Langan: Okay. How much from a outflow is that, because I believe pension being transferred with it and you are going to fund.
Jeff Stafeil: Yes. It is roughly $180 million between this year and next year and it covers roughly about $190 million of pension that will transfer to the buyer.
Colin Langan: Okay. Any thoughts in the quarter, Q3 sales actually seemed quite strong. Is there anything unusual that happened in the quarter? It seems like around the world the actual it was not strong and how should we think about it going to Q4?
Sachin Lawande: Hi Colin. This is Sachin. The thing to note in the quarter that was unusual was obviously China. China production was down significantly 9% as we have mentioned on in our deck. In terms of how we should look at it going forward for Q4, our assumptions for Q4 for China is that will be essentially flat with respect to last year, which is roughly at about 5.5 million units of production compared to the 4.3 that the experienced in Q3. That should give you some understanding of what we are assuming in the revenue and sales side of things.
Colin Langan: Okay, but there is no - when we think of total sales around the world sequentially, they get better. Will that continue into Q4 of this year?
Sachin Lawande: No. I think Q3 is not necessarily our strongest quarter and Q4, we would expect to be similar to prior year's, which is not a strong quarter. It is a light quarter, but our range that we have given for the year we are pretty confident about the mid-point of that range. We feel good about it unless there is something significant that happens. I think, we should be in a good position.
Colin Langan: Okay. Then just one last question, you mentioned the $2 billion to $2.25 billion of capital returns, any timing on when we get that update and it was actually I think in an article a couple of weeks, there you were talking about looking at bolt-on acquisitions. Is there any thought of using that cash for of an M&A purpose? Any updated thought there?
Sachin Lawande: Yes. First of all, I would like to reiterate that there is no change in terms of our commitment to return the capital. That stays exactly how it has been, which we communicated, I believe, in June press release, so again no change for that now. On your second question about acquisitions, we continue to look for opportunities to improve our technology capabilities and make us more competitive. These are relatively small tuck-in acquisitions that we are continuing to look at. When they materialize we will certainly inform you of those events, but we are not looking at anything significant at this point in time.
Colin Langan: In terms of how the capital allocation plan, will that be part of the strategic update over the next couple of weeks?
Sachin Lawande: That is correct.
Colin Langan: Okay. All right. Thank you very much.
Sachin Lawande: Thanks Colin.
Operator: Your next question comes from the line of Matthew Stover with SIG. Please go ahead.
Matthew Stover: Thank you very much. Two questions, on the margin side, you have performed to the high-end of expectations on the JCI integration far sooner than you expected. I am wondering if as you look at the business and restructuring the business, if you see scope for further margin opportunity than you had seen earlier in the year. I have a follow-on.
Jeff Stafeil: Matt, it is a good question. We have obviously been looking at our margin pretty heavily. This year it has increased quite a bit as you mentioned, certainly quarter-over-quarter. Year-over-year it is quite positive. We gave you some guidance in the back that suggests next year we are looking at approximately 9.5% margin and we will continue to work to improve those numbers closer to what we would say is our best-in-class peer group range and we will give you a little bit more color on that when we sit down in the investor conferences we had scheduled for the next couple of weeks.
Matthew Stover: That sort of segues into the next question. As we look at that guidance, what are the sort of underlying industry assumptions as we think about the improved outlook and if there is any clarity you could offer in terms of free cash flow on higher EBITDA that you are looking in '16 will be helpful.
Sachin Lawande: Matt, in terms of assumptions in terms of the industry performance, our assumption would be that North American and Western European markets continue as they have been, which they are not expecting significant growth, but we are expecting them to hold steady. China obviously is a big question mark, but our expectation is that that some of incentives that they have announced especially for vehicles under 1.6 liters that that market would show growth again next year in the range of about 5% to 6%, so those are the market assumptions on. The other question, Jeff, if you would like to take?
Jeff Stafeil: Sure. Matt, we gave you this year's free cash flow or adjusted free cash flow guidance of around hundred 150 for the electronics and corporate piece. We said about $40 million of unusual items hit us in 2015 that we would not expect to repeat, so you are kind of probably working off $110 million base. Then sort of adding in the EBITDA performance, we will continue to - I would say our focus is very strong and continuing to push our cash flow number to what we think is appropriate and a lot of that benefit as we go forward will be due to the margin expansion as we continue to perform on cost reductions, but also on revenue growth and getting opportunities or benefit of scale as we do so.
Matthew Stover: Terrific. Thanks very much.
Operator: Your next question comes from the line of Ryan Brinkman with JPMorgan. Please go ahead.
Ryan Brinkman: Hi. Good morning thanks for taking my question. It really relates to the strong backlog that is shown on Slide 4 and Slide 5. Sachin, as you pointed out, the ratio of this lifetime backlog divided by your current revenue was. It is consistent with companies that have guided to normalized organic growth in excess of that which Visteon was guiding to prior to your coming on Board, which was back in Detroit, in January, I think that was for 5% top-line CAGAR through 2018, though dragged lower by the ex-JCI business. Basically I am curious whether given the pace of new business wins this year or the market growth in the product areas that you participate in or maybe the product areas that you want to take Visteon in the future. If there now might be reason to believe that the rate at Visteon can grow is higher.
Sachin Lawande: Good question, Ryan. One point I would like to make for the credit be on the backlog is as compared to, say, my prior employer, the lifetime of products here is a little bit longer than, say, in infotainment, so we should take that into account in terms of how that applies in terms of how the backlog then flows into future revenue, but we do definitely want to target growth at the high single digit levels, but we should also keep in mind that on account of the product cycles here, we are not likely to see that level of growth in the immediate say 2016-2017 timeframe. Our aspiration and what we are targeting here is absolutely high single digits. That is what we have said is the underlying growth rate of the electronics market and we would expect to perform at least as better if not slightly better than that.
Ryan Brinkman: Okay. Great. Thank you. Then just my last question is about Slide 16. It looks like if you look at that bridge that you have provided there is $45 million from cost efficiencies increasing in your guidance versus what was thought at the start of the year and I am curious whether this reflects more faster realization of our planned JCI-related synergies in the future i.e. pool head or whether the total amount of those synergies is now going to be higher. Maybe said in other way, if you guided to - today if you are updating that guidance, does this flow-through or is it more just an improvement near-term?
Jeff Stafeil: Ryan, this annual synergies when we put forward the JCI, when we made the announcement that we are buying JCI and gave the range of expected synergies. Those are expected to be annual synergies, which would continue to repeat the business. We would expect that to continue to be the case. We are just basically saying, we implemented them earlier and on the higher side of the range, so that is something we would expect to carry forward into next year and that is reflected in the approximate 9.5% margin get next year.
Ryan Brinkman: Okay. Great, so they are coming in towards the higher end of the range.
Jeff Stafeil: Right.
Ryan Brinkman: Great. Congrats on the quarter. Thanks so much.
Jeff Stafeil: Thanks, Ryan.
Operator: Your next question comes from the line of Brian Johnson with Barclays. Please go ahead.
Brian Johnson: Good morning. Just want to get - you might have mentioned this before. When you kind of a roll forward in 2016, are you putting in additional currency headwinds or just taking the spot rates you have used for 4Q?
Jeff Stafeil: There is a little bit of additional currency headwind. We just essentially took the spot rates, which across the board were probably $25 million $30 million lower in revenue and had a little bit of margin profit impact as well, not as extensive as what we were looking at this year, but still a little bit of softness on currency and that is built into the guidance we just gave.
Brian Johnson: Okay. Just maybe to help people to model, what does that imply for the organic growth rate in '16, because you obviously also had some production assumptions in there.
Jeff Stafeil: Yes. There is a lot of different things in that number. I do not have just that breakout, Brian, because there is productivity and other things that come into the numbers. We gave you on an outlook in saying you roughly 4% to 5% increase in sales next year. That includes you can say a 2% productivity, it includes volume, it includes all that stuff and includes probably $30 million, $40 million of the currency in there as well.
Brian Johnson: Okay. We will talk a lot more about strategy in the upcoming weeks, but just maybe a broad question for Sachin, and maybe if you could be specific as an example with some of the answers. I guess, since you have been there now for a quarter what would you say the biggest positive surprise you found at Visteon in not just general, but specific and then the biggest negative surprise/thing to continue to work harder on.
Sachin Lawande: Sure. Let me Brian, give you a couple of examples that I think illustrate some of the positives very well. One would be the technology capabilities and a great example of that is the so-called domain controller what we refer to sometimes as smart core technology, so smart core quality is what allows the next generation of products that would be much more integrated instead of having the separate boxes for clusters or infotainment and of the displays et cetera has the potential to lower cost, improve security which is a is huge concern for everyone in this industry and also improve the user experience. Now, we are not only ahead in terms of coming up with the technology solution, but we are also in the middle of prototyping it and the first systems would be launched in the 2018 timeframe or a major German OEM, so that is a good example of technology capability that I think this is just outstanding. The other one I would point to is also our capabilities in the display technologies. People think that display is a commodity, but in reality our displays are for automotive a different from of displays that consumer-electronics manufacturers are familiar with and it gives us tremendous opportunities to come up with innovative curve displays, OLED displays and a whole lot innovations around that, which I believe Visteon is better than virtually any other supplier in the industry, so those are two great examples. On the challenge side, just like everyone else in the industry, Visteon is grappling with the challenge of increased complexity and ever-increasing complexity of these electronic systems, mainly from software viewpoint. To be able to address this, you really need to have a great organizational structure, processes and a culture that knows how to deal with this. We started on our journey to transform ourselves as soon as I came here happy to report that we have made significant progress. It is not a short-term thing. It takes some time and I want to caution people not expect wonders right away, but I believe we are ahead than again all of our competitors and the fact that they are focused, we know where we need to go. I expect that we will be best-in-class in this area as well very soon. 
Brian Johnson: Are you talking about driving more of a software culture and rapid cycle development through the organization?
Sachin Lawande: Yes. Absolutely right, it cuts across virtually everything that we do. We can't just say we are a software company with the same kind of processes and capabilities that we have always had in the past, when the word was largely different than more hardware-oriented, so it addresses our IT system that addresses how we build software, how we test it, how are organized globally to be able to actually achieve all of this and it is a significant change. It is not something that many companies can even comprehend in terms of being able to go forward. With our focus and now that we are just a electronics company, I think it behooves us to be the leaders in this space and I am very optimistic that what I have seen in the start that we have made, I believe, we have a great opportunity to grab the leader mantle here.
Brian Johnson: Okay. Great. Thanks.
Operator: Your next question comes from the line of Itay Michaeli with Citi. Please go ahead.
Itay Michaeli - Citi: Great. Thanks. Good morning everyone and congrats, just a couple of follow-up question perhaps on the backlog. First, I was just curious when you are quoting in booking business today just wondering kind of what the timeframe in terms of the launches are you quoting mostly 2017-2018 business or sooner or later. Then maybe just follow-up with a discussion as your coating business today, where are you seeing the most interest from your customers across your portfolio today?
Sachin Lawande: The timeframes, Itay, are generally as you mentioned starting 2017 onwards. In terms of the interest, I would say that it really cuts across all of our products, so if you think about what is happening here with instrument clusters, which is a great example, something that you may not think of as a product class that is undergoing a lot of confirmation, but with all of the content that we are bringing into the cars, the instrument cluster cannon afford to remain a static display with electromechanical digits, so this whole product class is turning into a fully digital display. Now, it is going to take a evolution. It does not go from a electromechanical to full digital overnight, essentially due to cost, but there are intermediate steps that introduce ever larger displays, perhaps coupled with some gauges and eventually all digital, so this is one of the things that we are experiencing which will create significant opportunities for us to be able to take advantage of and the growth rates that we are anticipating are based on this kind of transformation that are happening on the product line. Other product category that we are seeing a lot of activity in are head-up displays, I believe this is an area, where we are right at the cusp of a breakout in terms of adoption of this product into the mid-segment of vehicles. As you know, it used to be a feature at the high-end. With what we have been able to do to bring the cost down and really have a very useful and competitive solution, I am starting to see the RFQs [ph] and business interest now at a pace I think we have not seen before, so also very optimistic about this product category turning into something much bigger than what it has been in the past.
Itay Michaeli - Citi: That is very helpful Sachin. Then maybe just two modeling questions related to Jeff. First, on just the slide around China, the two to three times factor growth in the overall market. Is that a 2015 projection do you think that can continue in the foreseeable future? It is kind of both, Itay. We see nice growth in China in 2016. As we look at our plan going forward, we just continue to see opportunities there. We are well situated with our JV partnerships we have. I think even opportunity to bring more technologies and more of our product portfolio into China, which should serve to boost the growth there as well, so I would say that is short-term and long-term range goal there.
Itay Michaeli - Citi: Great. Lastly just on a modeling questions. Jeff, you mentioned that the previously defined $245 million backlog in '16. As I think a lot of peers - just come under a little bit of pressure. Do you have a an updated rough number for what that number is now for 2016?
Jeff Stafeil: For which year Itay?
Itay Michaeli - Citi: For the backlog, I think you mentioned about $245 million of backlog…
Jeff Stafeil: Yes. I was not sure which year you are talking about, but let me just answer that a little more generally. One of the challenges of putting that backlog the way we used to. We used to have a $500 million of backlog and we tried to show how it rolled out. There are so many things that factor into those numbers. One of the things you will see us do, we just provided you a full guidepost approximate guidepost for 2016 at $3.2 billion. When we sit down in the investor conferences starting in a week, we are going to put out a package of material that you will be able to see and in there will have kind of essentially do the work. We will try to give you a couple of years forward of where we see our revenue ongoing, a couple few years forward, and it will factor in our backlog, it will factor in our productivity, it will factor in the market, it will factor in everything and hopefully that will at least provide a better guidepost for you to use in your models on revenue growth and our revenue expectations.
Itay Michaeli - Citi: Terrific. That is very helpful, everyone. Thank you.
Jeff Stafeil: Thanks, Itay.
Operator: Your next question comes from the line of David Leiker with Baird. Please go ahead.
David Leiker: Good morning, everyone.
Sachin Lawande: Good morning, David.
Jeff Stafeil: Hi, David.
David Leiker: Yes. Sticking on the backlog number here again, the $950 million that you have booked year-to-date, can you give us any color in terms of the mix of that backlog in terms of the product categories or customers or anything along those lines?
Sachin Lawande: Yes. Hi, David, I think the questions was color on the roughly - did you talk about the $2.9 billion or $800 million? I was not able to hear you clearly?
David Leiker: Either one.
Sachin Lawande: Okay. All right. Yes. In terms of our product categories, the best way to understand is David is, if I can talk about the top four wins in the quarter, two of the top-four were instrument clusters, one was infotainment, so the clusters were in North America, infotainment was in China and there was a significant display of win in Japan, and I would say that is pretty representative of the rest of the business that we have won.
David Leiker: Of that $2.9 billion backlog is there any sense of how much that is recurring, rebooking existing business versus incremental business?
Sachin Lawande: Yes. That is a good question. Roughly half of that is new wins and the other half is re-wins. That is the same both the quarter and for the full year, so I am really happy, David, about this because that does show that we are winning new business in a meaningful way.
David Leiker: That is great. Then one other item here in the asset dispositions that are still left. Any color on the timing? What potential proceeds might be for them?
Jeff Stafeil: Yes. I actually missed the first part of your question.
Jeff Stafeil: Asset dispositions that are remaining, there is just a couple of pieces within our discontinued operation, there is one final piece to close which we expect by the end of the year on our interior assets as part of the servers deal, started a year ago. The only other thing that we have of significance it is not under contract for any sale, but we have a couple of climate facilities that did not go with the climate sale or the HVCC sale to Hankook and Hahn Company, relatively small you see those in our other operations in there in South America and one very small facility in South Africa. Not terribly significant though.
David Leiker: In the plan for those are just right around that business, so?
Jeff Stafeil: Yes. I would say that is probably the working assumption at the moment.
David Leiker: Okay. Great. Thank you. I look forward to seeing you all next week.
Sachin Lawande: Thanks David.
Operator: Your next question comes from the line Brian Sponheimer with Gabelli & Company. Please go ahead.
Brian Sponheimer: Hi, thank you very much. Two questions, one just going to China, obviously, near-term expectations are a bit muted, but longer-term I was wondering if you have seen any change in bidding or quoting patterns for some of your customers there whether it would be the Chinese, domestics or some of the JVs?
Sachin Lawande: Yes. Brian, I think what I would say here is, we have been roughly at around 50% domestic versus international OEs is in terms of the business that we have there. We do see us trend more towards the domestics as we go forward here, which is something that I am also particularly interested in driving. As you may be aware with the business or the market shifting more towards SUVs, where the domestic OEMs have a stronger product offering, this is an area where I believe we have opportunity, but it is roughly at 50-50 today and of those slowly start to tier more towards the domestics.
Brian Sponheimer: All right. Thank you. Just one I guess kind of directionally a quoting perspective I guess your customer perspective. Have you seen any change in behavior just by virtue of the fact that you are hiring - I guess is it more question for Jeff anyway- that you higher end provide some stability and direction for the next several years versus maybe some insecurity as to who are Visteon is going to be without as capable as CEO, - not knowing who was going to lead the ship?
Jeff Stafeil: Sure. I think the transformation that Visteon as undergone over the last few years has been significant. It has been felt by the workforce and decline in the electronics business, in the electronics employees, I do think feel energized. They see a lot of opportunity, I think when we go out and we are recruiting, I think there is a lot of excitement for the Company. I think overall it is a positive feeling and I think growth and positive performance certainly as a great motivator and a great encouragement for new employees or for employed retention as well.
Brian Sponheimer: Well, tremendous quarter. I congratulate you. Sachin, you got big shoe to fill, but certainly you are doing a good job so far.
Sachin Lawande: Thank you, Brian.
Operator: Your next question comes from the line of David Lim with Wells Fargo Securities. Please go ahead.
David Lim: Hi, good morning everyone. Can you hear me?
Sachin Lawande: Yes. Hi David. Yes.
Jeff Stafeil: Yes. David
David Lim: Great. I just want to get an idea. There is some recent news or chatter about Samsung possibly getting into the automotive display business? I just wanted to get your thoughts on Visteon's advantage there from not only a relationships standpoint and technology, but from a validation standpoint with the OEs on the technology itself. Then I have one follow-up after that?
Sachin Lawande: Yes. David, let me help you understand what exactly we do in displays and why we have such a great position there. There is a big difference between, let me say, non-automotive and automotive displays and this comes down to technologies that really help address the glare, the reflectivity, which has specific issues in automotive that do not manifest themselves the same way in other product categories. Along with that, with the new demands to have more curve displays, because as the displays get bigger in the cockpit, flat displays do not really serve the user experience aspect of it, because of the angle that the driver and the passengers typically are with respect to the display. Our capabilities really complement the panel manufacturers' capabilities, so we actually welcome Samsung's entry into the space because of what is happening now with respect to the core panel technology itself, which is moving towards OLED. OLED as you know is the next generation of display technology, has a lot of great characteristics to it in terms of power consumption, brightness and most importantly being able to have non-flat curved surfaces, so we are working closely with Samsung, also with LG, who is another leader in this space I would say and they respect and value the capabilities that Visteon brings in order to take those panels and turn them into automotive displays. It is more than just the core technology. You also need to have your manufacturing capabilities to perform things such as optical bonding and handle curved displays appropriately, which have lots of characteristic that make them extremely challenging to implement. I believe we are ahead of the competition in this space. We are the market share leader and this is one space where we play almost entirely in the premium segment. I believe that the premium segment displays will start to show up in the mid-segment, because displays as you know has such a big impact on the user's perceived quality and experience impact that it has.
David Lim: Great. Thanks for…
Sachin Lawande: Hopefully that gives you some color here.
David Lim: Yes. That is a fantastic color. Thank you, Sachin. The other question that I have was more on your backlog and wins? Can you give us some color on the sense of how gross margins are going to trend on your business backlog? I mean is it better than what you guys are currently posting or is it somewhat similar? Any kind of additional detail would be helpful? Thank you.
Sachin Lawande: Yes. First of all, the backlog has developed really well. I would say again in the backlog, we have roughly a 50-50 percent mix between new wins and re-wins, so now when we talk about the new wins in particular, our margins are I would say better than what they have been in the past. As the backlog rolls further out and the new wins start to become the more predominant portion of the backlog, I would expect our margins to improve based on that the new wins and the margin profiles for the new wins.
David Lim: Excellent. Thank you.
Jeff Stafeil: We have time for one more question.
Operator: Your final question comes from the line of Christopher Van Horn with FBR & Company. Please go ahead.
Christopher Van Horn: Good morning. Thanks for squeezing me in here. Can you just comment quickly, Sachin, you are pretty close to what was going on infotainment space at prior employer and certainly what Apple was up to? Could you give us any color on what you see out of those guys and what we can maybe expect from them?
Sachin Lawande: Great question, Chris, and I am not sure if I will be able to shed a whole lot more light than what everyone is reading in the media about what apple and others are up to, but in terms of just the core capabilities and infotainment in general, let me just share with you my thoughts on how I expect that to move forward. We are seeing clearly that consumers are demanding more and more smart phone integration with their systems, so CarPlay, Android Auto, Kar-life and how well they are integrated into the infotainment systems is becoming a big deal for the market, but also very importantly and I want to draw the attention of this group to this issues, because this is you all read what is going on in the space. Security is starting to emerge as a huge issue that has not been addressed very well by the industry. In my mind the next space of infotainment and also to a certain extent instrument cluster, because these are both products that have significant amount of software, security aspects for them are really what is causing a lot of, I would say, concern at this point and we as an industry are working towards solutions. As you might imagine here at Visteon, I am trying to take this Company into the leadership position on this very important and evolving area of infotainment as well.
Christopher Van Horn: Great. Thanks for the color. Then one very specific question, could you detail a little bit what you are doing for the on the telematic side for that Acura program that you highlighted on Slide 6?
Sachin Lawande: Yes. We are building if TCU as it is known the telematics control unit that has 3G, 4G capabilities on the wireless side and connects into the vehicle network, so we have is a relatively modest telematcis business, mainly TCUs. Again, I believe that every single car that would have any reasonable level of infotainment capability in the future will also have connectivity. This is an area that we are pushing forward here much more than we have done in the past. It is an area of opportunity for Visteon and this is something that in the coming quarters I will be talking a lot more to you in terms of our actions there.
Christopher Van Horn: Okay. Great. Thanks again for squeezing me in.
Sachin Lawande: Thanks, Chris.
Jeff Stafeil: Thanks, Chris.
Bob Krakowiak: Well, thank you. I would like to thank everyone for their participation in today's call. If you have any additional questions, please feel free to contact me at your convenience. Now, I will turn it back over to Sachin for a final comment.
Sachin Lawande: Great. Thanks, Bob. Again, thank you all for joining us today. I look forward to sharing details on our vision, mission strategic plan as we have set earlier with you in the next two weeks. We appreciate your support and investment in Visteon. Thanks and have a good day.
A - Jeff Stafeil: Thank you.